Operator: Hello and welcome to Darden's Fiscal Year 2021 First Quarter Earnings Call. All lines have been placed on listen-only until the question-and-answer session. [Operator Instructions] I will now turn the call over to Mr. Kevin Kalicak. Thank you. You may begin. Thank you so much.
Kevin Kalicak: Thank you, Marcella. Good morning, everyone, and thank you for participating on today’s call. Joining me on the call today are Gene Lee, Darden’s CEO; and Rick Cardenas, CFO. As a reminder, comments made during this call will include forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Those risks are described in the Company’s press release, which was distributed this morning and in its filings with the Securities and Exchange Commission. We are simultaneously broadcasting a presentation during this call, which is posted in the Investor Relations section of our website at darden.com. Today’s discussion and presentation includes certain non-GAAP measurements and reconciliations of these measurements are included in the presentation. We plan to release fiscal 2021 second quarter earnings on December 18, before the market opens, followed by a conference call. This morning, Gene will share some brief remarks about our quarterly performance and business highlights and then Rick will provide more detail on our financial results and share our outlook for the second quarter. As a reminder, all references to the industry benchmark during today's call refer to estimated app track [ph] excluding Darden, specifically Olive Garden and LongHorn Steakhouse. During our first fiscal quarter industry same restaurant sales decreased 26%. Now, I'll turn the call over to Gene.
Gene Lee: Thank you, Kevin, and good morning, everyone. Given the ever-changing environment we continue to operate in, I am very pleased with what we accomplished during the quarter. We are focused on four key priorities; the health and safety of our team members and guests, in-restaurant execution in a complex operating environment, investing in and deploying technology to improve the guest experience, and transforming our business model. The progress we’ve made in these areas combined with our operating results gave us the confidence to repay the $270 million term loan and reinstate the quarterly dividend. Let me provide more detail on the four priorities. First, health and safety of our team members and guests remains our top priority. Following CDC guidelines and local requirements, our teams continue to practice our enhanced safety protocols, including daily team member health monitoring. We also continue to configure our dining rooms for social distancing to create a safe, welcoming environment while maximizing allowable capacity. A key part of this work is installing booth partitions to enable us to safely increase capacity where permissible. At the end of August, we had completed installation in just over 500 restaurants in our total portfolio. Operating in this environment adds another layer of complexity to an already complex operation, and I am proud of the commitment our teams make every day to keep our guests and each other safe. Second, we are laser focused on our back-to-basics operating philosophy to drive restaurant level execution that creates great guest experience, whether that's in our dining rooms, outdoors on our patios or in their homes. But it is not easy. Executing at a high level is more complex today due to COVID-19 restrictions that vary by market. Additionally, the constantly changing mix between on-premise and off-premise plus expanded outdoor dining that is weather dependent, reached unpredictability in sales. This is why the work we continue to do to streamline our menus and improve our processes and procedures is so important. Removing complexity from our operations has allowed our restaurant teams to execute more consistently in this unique environment. Our operators continue to deliver great guest experiences by displaying a high level of flexibility, creativity, and passion everyday, and I am thrilled to see that that reflected in our guest satisfaction metrics. Third, we are continuing to invest in and implement technology to remove friction from the guest experience. This includes providing multiple ways for our guests to order inside and outside the restaurant across our digital storefronts. Additionally, we are deploying mobile solutions to make it easier for our guests to let us know when they have arrived to dine or pick up curbside order-to-go. We are also expanding mobile payment options, providing additional convenience for our guests. For our three largest brands combined, more than 50% of our off-premise sales during the quarter were fully digital transactions where guests ordered and paid online. Finally and most importantly, we transformed our business model. Even with the sales declines we are experiencing, our restaurants continue to produce high absolute sales volumes. Therefore, we made the strategic decision to focus on adjusting our cost structure in order to generate strong cash flows, while making the appropriate investments in our businesses. This provides us a stronger foundation for us to build on as sales trends improve. The first step in this process was to re-imagine our offerings. This resulted in simplified menus across the platform driving significant efficiencies in food waste and direct labor productivity. Additionally, due to capacity restrictions, we significantly reduced marketing promotional spending along with other incentives we have historically used to drive sales. We will continue to evaluate our marketing promotional activity as the operating environment evolves. Finally, we have further optimized our support structure which is driving G&A efficiencies. The results of all these efforts to transform our business model can be seen in the fact that we generated adjusted EBITDA of $185 million for the quarter. Turning to our business segments, Olive Garden delivered strong average weekly sales per restaurant of $70,000 while significantly strengthening their business model, resulting in higher segment profit margin than last year. They were able to capitalize on simplification initiatives that strengthened the business model while making additional investments in abundance and value. This work was critical to position Olive Garden to drive future profitable top line sales as capacity restrictions ease. Olive Garden same restaurant sales for the quarter declined 28.2%, 220 basis points below the industry benchmark. Overall, capacity restrictions continue to limit their top line sales, particularly in key high-volume markets like California and New Jersey where diners were closed for the majority of the quarter. In fact, restaurants that had some level of dining capacity for the entire quarter averaged more than $75,000 in weekly sales retaining nearly 80% of their last year's sales. Given the limited capacity environment during the quarter, Olive Garden made a strategic decision to reduce their marketing spend as well as incentives and eliminate their promotional activity. They will continue to evaluate their level of marketing activity as capacity restrictions ease. Additionally, off-premise continued to see strong growth with off-premise sales increasing 123% in the quarter representing 45% of total sales. Thanks to technology investments we continue to make, online sales made up almost 60% of total off-premise sales, more than tripling last year's online sales. Finally, Olive Garden successfully opened three new restaurants in the quarter which are exceeding expectations. LongHorn had a very strong quarter. Same restaurant sales declined 18.1%, outperforming the industry benchmark by 790 basis points. This strong guest loyalty and operational execution helped drive their outperformance, while they also benefited from their geographic footprint. In fact, same-restaurant sales were positive for the quarter in Georgia and Mississippi. Additionally, the LongHorn team made significant investments in food quality and operational simplicity, which led to improved productivity and better execution. They also took a number of steps to improve the overall digital guest experience. Off-premise sales grew by more than 240% representing 28% of total sales. Finally, LongHorn successfully opened two restaurants during the quarter. The brands in our Fine Dining segment are performing better than anticipated. While weekday sales continue to be impacted by reduction in business travel, conventions, and sporting events, we saw strong guest traffic on the weekends, and believe there will be additional demand as capacity restrictions begin to ease. And lastly, our Other Business segment also delivered strong operational improvement with segment profit margin of 12.8%. This was only 130 basis points below last year despite a 39% decline in same restaurant sales. Yard House's footprint in California is impacting same restaurant sales in this segment. Finally, I continue to be impressed by how our team members are responding to take care of our guests and each other. We know our people are our greatest competitive advantage, and I want to thank everyone of our team members. We are succeeding, thanks to your hard work and resilience. Now I'll turn it over to Rick. (Auidt End)
Rick Cardenas: Thank you, Gene and good morning everyone. The encouraging trends and performance we experienced toward the end of the fourth quarter continued into the first quarter of fiscal 2021. Furthermore, the actions we took in response to COVID-19 to solidify our cash position, transform the business model, simplify operations, and strengthen the commitment of our team members, helped build a solid foundation for the future. These actions and our continued focus on pursuing profitable sales have resulted in strong first quarter performance that significantly exceeded our expectations. For the quarter total sales were $1.5 billion, a decrease of 28.4%. Same restaurant sales decreased 29%. Adjusted EBITDA was $185 million and adjusted diluted net earnings per share were $0.56. Turning to the P&L, looking at food and beverage line, favorability from menu simplifications more than offset increased to go packaging costs. However, these inflations of over 7%, primarily impacting LongHorn, drove food and beverage expense 20 basis points higher than last year for the company. Restaurant labor were 20 basis points lower than last year with hourly labor as a percent of sales improving by over 350 basis points, driven by operational simplifications. This was mostly offset by deleverage in management labor. Restaurant expense included $10 million of business interruption insurance proceeds related to COVID-19 claims submitted in the fourth quarter of fiscal 2020. Excluding this benefit we reduced restaurant expense per operating week by over 20% this quarter. For marketing we lowered absolute spending by over $40 million bringing marketing as a percent of sales to 1.9%, 130 basis points less than last year. As a result, restaurant level EBITDA margin was 17.8%, 20 basis points below last year, but particularly strong given the sales decline of 28%. General and administrative expenses were $10 million lower than last year as we effectively reduced expenses and right sized our support structure. Interest was $5 million higher than last year mostly related to the term loan that was outstanding for the majority of the quarter. And finally, our first quarter adjusted effective tax rate was 9%. All of this culminated in adjusted earnings after tax of $73 million, which exclude $48 million of performance adjusted expenses. These expenses were related to the voluntary early retirement incentive program and corporate restructuring completed in the first quarter of fiscal 2021. Approximately $10 million of this expense is non-cash and the remaining will be cash outflows through Q2 of fiscal 2022. This restructuring resulted in a net 11% reduction in our workforce in the restaurant support center and field operations leadership positions. It is expected to save between $25 million and $30 million annually. We expect to see approximately three quarters of these savings throughout the remainder of fiscal 2021. Looking at our segment performance this quarter, despite a sales decline of 28%, Olive Garden increased segment profit margin by 110 basis points to 22.1%. This strong profitability was driven by simplified operations which reduced food and direct labor costs, as well as reduced marketing spending. LongHorn Steakhouse, Fine Dining and the Other Business segment delivered strong positive segment profit margins of 15.1%, 11.9%, and 12.8% respectively, despite the significant sales decline experienced in the quarter. These brands also benefited from simplified operations keeping segment profit margin at these levels. In the first quarter 68% of our restaurants operated with at least partial dining room capacity for the entire quarter. These restaurants had average weekly sales per restaurant of $69,000 and a same restaurant sales decline of 21.9%. And while Olive Garden and the Fine Dining segment had fewer dining rooms open than our average, these restaurants had the highest average weekly sales per restaurant of almost $76,000 and $90,000 respectively. At the start of the second quarter, we had approximately 91% of our restaurants with dining rooms open operating in at least limited capacity. Now turning to our liquidity and other matters. During the quarter, as we saw steadily improving weekly cash flows we gained confidence in our estimated cash flow ranges. We fully repaid the $270 million term loan took out in April. We ended the first quarter with $655 million in cash and another $750 million available in our untapped credit facility, giving us over $1.4 million of available liquidity. We generated over $160 million of free cash flow in the quarter and improved our adjusted debt to adjusted capital to 59% at the end of the quarter, well within our debt covenant of below 75%. Given our strong liquidity position, improvements in our business model, and better visibility into cash flow projections, our Board reinstituted a quarterly dividend. The board declared a quarterly cash dividend of $0.30 per share. This dividend represents 53% of our first quarter adjusted earnings after tax within our long-term framework for value creation. We will continue to have regular discussions with the Board on our future dividend policy. Our first quarter results were significantly better than we anticipated. The actions we took to simplify menus and operating procedures, and capture other cost savings, along with our choice to pursue profitable sales, have yielded strong results. And now with a full quarter operating under this environment, we have even better visibility into our business model. For the second quarter we expect total sales of approximately 82% of prior year, including approximately 100 basis points of headwind due to the Thanksgiving holiday moving back into the second fiscal quarter this year. We anticipate EBITDA between $200 million and $215 million and diluted net earnings per share between $0.65 and $0.75 on a diluted share base of 131 million shares. In this environment we continue to focus on building absolute sales volumes week-to-week and quarter-to-quarter. This may result in variability and sales comparison to last year as capacity constraints lead to less seasonality than we would have experienced historically. Said another way, if capacity and social distancing restrictions remain similar to where they are today, it will be challenging to dramatically increase our on-premise average in volumes. Our second quarter is typically our lowest averaging in volume quarter and our third quarter is typically our highest. Additionally, as capacity restrictions ease and sales normalize, we will be able to reinvest to drive the top line and a better overall guest experience. One last point before we take your questions. Based on our strong business model enhancements, we now think we can get to pre-COVID EBITDA dollars and approximately 90% of pre-COVID sales while still making appropriate investments in our business. And with that, we will take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Strelzik from BMO. Your line is open.
Andrew Strelzik: Hey good morning. Thanks for taking the question. In the press release, you mentioned on the execution that it was better than expected. I'm curious if you could just kind of dig in a little bit there more specifically either by brand or by cost bucket? And subsequently, how sustainable are some of the cost improvements if you could maybe give a sense for how much better you think margins could be if you were to get back to say 100% of the prior sales?
Gene Lee: I'll take the execution part, and I'll let Rick talk about the margin piece. I think a lot of our execution is coming from the streamlined menus. And our ability to put out products with increased frequency of that product is helping our execution and our team members are becoming much better at doing that. When you limit your menu and you focus on key products, the quality of that product just continues to go up. And I also think it transcends itself into the dining rooms. And I think today, we've gotten used to the complexity of operating with the COVID requirements, and every day I think we're running better and better restaurants. Rick, do you want to talk about the margins?
Rick Cardenas: Yes, hey Andrew. I'm going to start with the 90% number that we gave a second ago. We have made improvements in our cost structure as Gene has mentioned and significantly improved our business model. As sales improve, remember we assume that some of these costs will come back, but not all of them. The 90% contemplates some costs returning along with continued reinvestments. And while the 90% sales level may change depending on the competitive environment and the economic backdrop, now I will say that if we get to 100% and we make some investments as we've been talking about, we could see margins improve by 100 basis points, maybe even 150, but again that depends on the economic backdrop, the competitive environment, and what do we have to do to get to that 100%. So, I wouldn't tie in the 100% to 150%, but I would at least get into the 90% based on our EBITDA, I'm sorry getting our EBITDA back based on 90% of sales.
Andrew Strelzik: Okay, great. And if I could just squeeze one more in, I'm just curious if you think you've seen at all any impact from stimulus tapering off, if you've seen that or any other kind of regional or daypart differences that you have also seen if you can comment on that it would be great? Thanks.
Gene Lee: No, we've seen no falloff with the stimulus. Actually, we're seeing average weekly sales across the system improve every single week. So, we're feeling pretty good about that. So, we’re seeing some restrictions be eased throughout the country, so really nothing from a regionality standpoint. I think you've just got to look at the mobility index and you've got to follow what's happening with restrictions, and you can see guest traffic move along with that.
Andrew Strelzik: Great, thank you very much.
Operator: Your next question comes from the line of Andy Barish from Jefferies. Your line is open.
Andrew Barish: Yes, hey guys, just wondering on the kind of comments on on-premise dining and sort of driving same-store sales performance from here. What would it take to from a capacity constraint perspective help that number? Can you do more booth partitions and just the impact of seasonality starting with the outdoor patio business as well, just trying to find a level set on all those areas?
Gene Lee: Let me work backwards to your question, outdoor capacity is really de minimis for us overall as the system. The good news is that we haven’t really been able to use a lot of our outdoor capacity in Florida, it has been raining every single day here for the last six weeks. So we're going to start getting that back. As we lose outdoor capacity up north, we will pick up a lot more in Florida than we've been able to use. So, for that when we think about outdoor capacity, it is really not that meaningful for us. As far as what's going to drive in the short term, some more same restaurant sales is additional capacity. We need to get California back. We need some other areas to increase their capacity from 25% to 50%. Once you get past 50% as long as the six-foot rule is in place, you still are not going to really be able to max out your dining rooms. In some areas we're getting our bar tops back which are important, gives us more capacity inside the restaurant. And so, I think it really comes down to just the incremental improvements in the capacity levels. We're going to probably continue to roll out booth partitions, we’ll probably close to double what we have right now and that gives us six to seven extra tables per restaurant in the jurisdictions that allow us to do that, and not every jurisdiction allows us to do that. I think that our teams are being very respectful of the requirements in their operating environment, and we're trying to create first and foremost a safe environment for our team members and our guests, and we're not trying to push same restaurant sales and risk that experience for our team members and guests. So, I would look at getting California back is big in Olive Garden. We've got 100 restaurants there.
Andrew Barish: Okay, and just a quick followup for Rick if you could. I mean the same-store sales and the total sales gap in the 1Q were basically on top of each other. The 18% reduction in total sales, is there a same-store sales analog for the 2Q we can kind of point to in terms of a gap?
Rick Cardenas: Yes, it is pretty close. It is not like we have a lot of new restaurants coming into play, so it is within a 100 basis points.
Andrew Barish: Okay, thank you very much.
Kevin Kalicak: Marcella, we are ready for our next question.
Operator: The next question comes from the line of Nicole Miller from Piper Sandler. Your line is open.
Nicole Miller Regan: Thank you and good morning. When I look back to Slide 16 of the presentation, can you speak to the capacity in the first quarter? What was the average and was it higher or lower as you exit the quarter because that can help us kind of inform and understand the capacity in 2Q? I know 90%, 91% are open, but I am wondering what kind of capacity mandates or restrictions you are dealing with?
Gene Lee: Well, most of the capacity restrictions are around the 50% range, 50% capacity, some are 100% but if you average out our company, when you take the six foot rule, et cetera, we're probably at the 50% capacity range even at the end of the quarter.
Nicole Miller Regan: Okay, okay, super. And then it is not lost on us when you talk about the back to basics and I think there is obviously no one better than your team efforts and it is a power to teams. So if you think about roles and the functions for me like six feet office rule comes to mind. How are you really resourcing your team to be effective right now? Can you give us some concrete examples?
Gene Lee: I think our engagement with our team members goes all the way back to the beginning of COVID, I mean it actually goes beyond that, but I think how we held the situation with emergency pay and taking care and thinking of our people and staying engaged with them and paying their benefits. We invested over $100 million in that short period of time into our team members. So bringing them back to work has been fairly easy for us. And I think our team members are really engaged in what they are doing. And so, and we've got this strong culture for a long time. And our team member retention is better than ever which is really exciting to see. I mean I'm looking at retention numbers for our team members that I'd never thought I would see in this industry. I've been working in this industry for over 30 years. I've never seen retention like this which gives us the ability to execute it at the highest level. And as we bring people back to work or bring them back, our most productive and our most dedicated team members. So I think the spirit is high in our restaurant. I think people are excited to be out there, they're making money. I think they're bringing happiness to people that come into our restaurants and I think that energy is – in this very difficult time in transferring between the guest and the team member, and I'm in the restaurants every day, and I'm in one of our restaurants most every day, sometimes twice a day. I would tell you that, the attitude is just absolutely fantastic and our team members are doing a great job.
Nicole Miller Regan: Thanks, I appreciate the commentary.
Operator: Your next question comes from the line of Brian Bittner from Oppenheimer. Your line is open. Brian your line is open.
Brian Bittner: Sorry, I was on mute. Good morning guys. When you talk about getting back to pre-COVID EBITDA levels on 90% of sales, can you just talk about your working assumption on that relative to G&A versus pre-COVID in restaurant level profits versus pre-COVID?
Gene Lee: Well, Brian, I think on the G&A side, we talked about the voluntary emergency, I'm sorry voluntary early retirement program, and that's going to save us $25 million to $30 million a year on a rolling basis. And we would we would expect G&A to start coming back up as we start getting travel et cetera. We didn't do a whole lot of travel in the first quarter, but most of our investments will be back in the restaurant as you think about marketing spend and labor and other things. So I would say that if you look at what we say in the 90% range, most of our investment will be back in the restaurant. Our G&A, we would hope, our G&A would be at least below 5% for the foreseeable future.
Brian Bittner: Okay. And would you describe all of the LongHorn's outperformance relative to Olive Garden, is that all due to geographical mix in the six feet rule, or is there anything else that you'd point out as it relates to LongHorn's performance relative to Olive Garden?
Gene Lee: I think the majority of it is geographic and I think the brand strength in Georgia has been incredibly impressive. And I think that it's just a market where there's a lot of loyalty to the brand. I think the market, Georgia, State of Georgia trusts LongHorn and I think people are going to where they're really comfortable. And so I do think that their consumer maybe a little bit better off economically. But I mean, their performance is impressive without a doubt, but it's being driven by Georgia, I mean it is being driven a lot by their footprint.
Brian Bittner: Thanks Gene, and my last question just with Olive Garden, we talked a lot last earnings call about the capacity restraints related to the six feet rule. Is there anything else if we stay in this environment for a while moving forward, is there anything you are doing to improve the capacity based on the seating configuration within that six feet rule that we should know about?
Gene Lee: Well, I think we can see that temporary barriers, I think, the team continues to look at how do you, can you move a few tables in the dining room to improve the overall capacity. So I think they continue to try to modify that. I think the thing when you think about Olive Garden is focused on the absolute volumes. You know it is $75,000 a week, these are these are healthy, healthy businesses. And the off-premise business continues to thrive, which is a place that we're going to. We start putting some marketing money back into that business. It will be focused on trying to drive off-premise not in-premise. We continue to evaluate what's the best way to go with that investment spend, when is the right time to use it? And so, the other thing I would tell you is that, it can probably be hard for you to believe, but we have one restaurant that cost us 50 basis points in comps. That's the Times Square Olive Garden and we start every single week $300,000 in the hole from a comp store basis. We are going to get 25% capacity back in Times Square on the 30th, but that's -- you wake up every day and you are $300,000 short just in that one restaurant. That's our best restaurant in the Olive Garden system. We do $50 million there, and now we're doing, $2500 a day. And so, we've got some odd ball things. Getting California back is going to be huge. California is a big market for us with high volumes. We have a higher check average and we can see because we're starting to get some counties back, and we can see the impact on that on a daily weekly basis.
Brian Bittner: Thanks Gene.
Operator: Your next question comes from the line of Andrew Charles from Cowen & Co. Your line is open.
Andrew Charles: Great, thanks. Question for Rick and a question for Gene. Rick the sales levels in labor line was quite impressive during the quarter. I was curious how would you categorize what you view as permanent savings from the shift to online pickup and more streamlined kitchen operations and efficiencies versus maybe some of the temporary improvements that will persist in 2Q from volumes that are below peak? And then, Gene, you kind of talked a little about it, just did it head on, the hundred partitions that were implemented last quarter to improve seating capacity, I think you said you doubled it, but curious, what has been the learnings there? How would that help? Is that a key unlock for you in terms of where we are in this -- in the reopening, or is that just something that's just a small tool? Thanks.
Gene Lee: Okay Andrew. On the labor line, remember we've got two components of labor, one is the hourly labor, which is where we saw a lot of efficiencies, and the other one is the management labor, which is more fixed in nature. We would expect the hourly labor to not be as favorable going forward, just because of training expenses. We didn't have as much training in the first quarter, and we'll continue to, we're going to start having some training in Q2 and beyond. But as our sales pick up, our management labor should be leveraged a little bit more than it was before. So, I think there was a question earlier on whether it get to at 100%, and that 100 and 150 basis point improvement will mostly come out of labor and some cost of sales.
Rick Cardenas: Yes Andrew, on the partitions, depending on the restaurant foot layout, you're going to get six to eight more tables, and you know most of those will be four tops and the average party is 2.3. So I mean, I wouldn't say it's not de minimis, but sounds meaningful. I mean, you're getting, especially on the weekends you're getting another two seatings on those tables. So every little bit helps, because we have the demand for those tables, but it's not going to it's not going to move the top-line significantly.
Andrew Charles: Thanks.
Operator: Your next question comes from the line of Eric Gonzalez from KeyBanc Capital. Your line is open.
Eric Gonzalez: Hey, thanks, good morning. Just on the promotional schedule, I think that I think we're all sad to see that may be never any possible is not being run this year and I'm just curious. You know what needs to happen from a capacity standpoint, restriction standpoint for that promotion to make sense, and there are limited that whether it be 25%, 50%, or 75% worth of diners reopened where it makes sense to have traffic driving promotions at that one. And then like later in the year is that a lever that you can pull and bring it back to drive people to the restaurants?
Gene Lee: Yes, I think on those high volume, high traffic promotions, we're going to feel, we have to feel comfortable that we got pretty much 100% capacity unless the promotion, we are speaking about promotions that drive the off-premise and drive off-promise experience. When I think about marketing, and the team thinks about marketing, I think that we want to try to get far along as we possibly can through this crisis or cycle, and then fully understand what the competitive set is going to be, what the economic backdrop is going to be, and then we'll figure out how to appropriately layer back in all our promotional, marketing and promotional activity and our incentives. We think we can layer those back in smarter and more effective than we had them in the system before, and this is a terrible thing that we're going through, but we're trying to find, okay we're trying to find the positives in this to really rethink, and rethink how we go to market with our businesses. And this is fortunately once in a lifetime option to be able to do things that we probably couldn't do, where we were pre-COVID. So you know, I think long term, we're going to look at the situation and we'll decide when we layer in our best promotional options, and we may have to re-imagine and revisit some of those promotional options to our guests so that we can maybe do it at a higher margin rate, but we have lots of questions and a lot of work to do around that.
Eric Gonzalez: That's really helpful. And then you mentioned in your remarks earlier that the off-premise mix was a moving target. Can you really dig into that a little bit more, and talk about what sort of the cannibalization rate looks like as dining was reopened, or maybe what happens when restrictions are put back in place?
Gene Lee: There's nothing concrete there, because each market is behaving differently. And so, when you see restrictions change, and maybe your capacity goes from 25 to 50 in certain markets that volume just switches from off-premise to on-premise, in other markets it doesn't. It depends on what's happening. We believe there's a good percentage of our off-premise today is being generated by people coming to the restaurant that can't get in, because the wait is too long, and there's no place to wait inside our restaurants. And so we think that those people have a tendency to just opt into the off-premise experience. So we really can't quantify that for you, because every market is different.
Eric Gonzalez: Thanks.
Operator: Your next question comes from the line of David Tarantino from Baird, your line is open.
David Tarantino: Hi, good morning. I have two questions. First, on the second quarter guidance, I just wanted to clarify, the guidance on the top line, is that similar to how you're running quarter-to-date or are you expecting to see further improvement as states like California start to open up?
Rick Cardenas: Yes David, our guidance first for sales for Q2, remember it incorporates a 100 basis point headwind for Thanksgiving. So we are running a little bit better than that quarter-to-date, but not by much. And so we do anticipate an increase of about 10% of average weekly sales from quarter one. It doesn't contemplate any significant change in capacity restrictions, other than the ones that we already know, other than the ones that have already been approved. But it also doesn't contemplate any significant change in sales due to a second wave or a vaccine approval. So that we thought 82% was fairly prudent, it's slightly low where we are running today, but it does take into effect the 100 basis point swing from Thanksgiving.
David Tarantino: Great, thank you for that. And then Gene, I was wondering, just philosophically how you think about what Darden might look like as we exit the pandemic, and I guess what I'm specifically wondering is, is it your goal to drive the sales volumes back to 100% of where you were before the pandemic or do you think you'd take less sales with a better simpler operating model that's easier to execute?
Gene Lee: I would take, I want both, I want a simple operating model, and I want higher sales, and I think that we're setting up for that, because I think there's a few dynamics that are in our favor. Number one, there's definitely been a capacity, there'll be capacity coming out of the system and we believe that we're well positioned to take share. And we think that this simplified operations will help us improve execution we will get better throughput and so we think there's a pathway to both, higher sales and better margins. I think our teams have done an incredible job of reimagining almost every aspect of their business through this. And I see a pathway to get there. I think Rick is bringing you back to the 90% only as a way to communicate where we think margins are going to be at a future sales level. We're not setting a target saying that we'd be happy with that. We see a pathway for our sales to get above that and we see a pathway for our margins to be above pre-COVID levels at that time.
David Tarantino: That's helpful. Thank you very much.
Operator: Your next question comes from the line of Jeff Bernstein from Barclays. Your line is open.
Jeff Bernstein: Great, thank you very much. One followup and then a separate question, the follow up just on the comments you made a moment ago regarding your guidance for fiscal 2Q does not assume any second wave of re-infection. I'm just wondering, as you think about it in the short term, what are you seeing with comps in markets where there are spikes in infection rates, whether you see a step back or whether you see capacity pullback? I'm trying to get a sense for the worst case scenario if we were to see a second spike in terms of what you're seeing thus far, or what learnings you've had? And then I had one follow up.
Gene Lee: So, as you know so far Jeff, we have seen no change in demand based on COVID levels in a market, unless capacity restrictions change. So, if you're example we're in South Florida, when we had the spike after the 4th of July, and the restaurant restrictions were very limited, we definitely saw demand drop, but that was not because of the consumer, it was more because of the restrictions the local municipalities put on us. We see a pretty resilient consumer out there. I know that's hard for you guys in New York to imagine, but the rest of the country is not operating that way. And so, I would tell you that what we're seeing is, it's all being controlled by the local municipalities, that they're managing demand more than the consumer.
Jeff Bernstein: Interesting. And then the other question was just on the, I think you alluded to it earlier in terms of what the industry is going to look like and capacity going forward. So I'm just wondering I just think about the independents and the crisis, we are all going through, but what are you seeing thus far in terms of, I guess you'd call it permanent closures or the impact you see for the industry going forward maybe the supply demand imbalance, or whether it's real estate availability, or market share opportunity, just trying to get a bigger picture thought on what you're seeing thus far for the outlook for primarily the independents?
Gene Lee: Well, I think the independents obviously have a tough time right, and as we think about it we think somewhere between 5% and 15% of capacity will come out of the system during this, maybe a little bit more but a lot of people will get recapitalized quickly and get some of these boxes back open. Obviously that that's going to benefit us in the short term and in the long term. As far as real estate so far has been one of the things that, my hypothesis has been, I've been a little bit off on. We've yet to see a meaningful change and what we can acquire real estate, I thought that being one of the only bidders out there, that we would see the costs come down. I think we're still going through the price discovery process on that and we'll see how that plays out long term. I've got to believe that we will benefit from availability and hopefully price. Availability is already there. It's just trying to get through what we think the property's worth versus what the REIT or the landlord thinks the property is worth. And so that will have some impact and help us grow, get to our 2% to 3% new unit growth over time.
Jeff Bernstein: Thanks Gene, I appreciate the color.
Operator: The next question comes from the line of John Glass from Morgan Stanley. Your line is open.
John Glass: Thank you and good morning. One of the biggest -- two of the biggest shifts I guess during COVID right has been this growth in the off-premise business across the industry, and second has just been the pickup and delivery, not delivery, but the digital business overall. So can you first just talk about the off-premise business? How do you think you need to, or do you need to change the format of the restaurant, or some other sort of structural change that you think that can facilitate a better off-premise experience or is what you're doing kind of working and the operational changes are working or do you think there's more sort of either pickup windows or some other permanent changes to the way the restaurants are structured to facilitate that?
Gene Lee: That's a good question John. I think that, going into this that we did the majority of our pickup with someone coming into the restaurant and picking up the food. We set up our process, because we believed and we proved out that accuracy and on time were the two most important things that the off-premise consumer wanted. Through this we had to go to a different experience which was when we moved very, very quickly to curbside. And we what we've learned through this is that curbside is a better option, and that the burden of on time and accurate needs to get on us and we need to have better systems to be able to deliver the same level of accuracy that we were delivering in pre-COVID. And what that means is, in one of our restaurants we are on a path to build better capabilities to handle the in-restaurant pick up. And now, as we pivoted to curbside the capabilities that we need to build inside are different. The good news is that they're cheaper because they're really not consumer facing. And so it will cost us a little bit less to be able to create those capabilities. But technology and when the expectation of the consumer is for a curbside experience. And when the expectation of the consumer is for a curbside experience, and we've taken a lot of friction out of that experience over the last 12 weeks, and we're in the middle of really rolling out some technology today to really make that experience a whole lot better. As just about notification when you're in our parking lot, versus we had a very manual procedure that we had to implement in the beginning of this. And eventually, we'll get the geofencing, and we'll catch up to what some of the bigger retail retailers are doing. So we actually think that there's a big benefit in this consumer shift, because we're going to take all these people that were in our dining room -- in our front door, picking up food, and they'll never enter our business -- building again, which makes it a better experience for our dining guests. So that's really the big change, John that for that has to happen. And right now we have the benefit of some of our -- have any extra space inside our restaurant that enables us to stage some of this off-premise work. But as we gain more capacity, we will need to modify some spaces. And actually add some like in a long home we'll have to bump out of the side of the building to be able to handle this extra demand. But I see it as all positive. We think, we can do curbside much more cost effectively than we can do picking up the food inside the restaurant.
John Glass: Thanks for that. And then just thinking of in a second read on digital. So you've got a significant amount of growth in the digital business, particularly on the To Go business. What have you learned from that? Is this -- is this a gate -- are these different consumers for example? Do you think about now your promotional mark – your marketing spend differently because digital has just grown so significantly as a channel. And I am also curious to hear just your view on other brands have decided to use digital in various ways through delivery as a way to expand the restaurant into other brands, adding products, adding new brands, that specific to a category that doesn't relate to their existing brand. Is that a viable path for Darden?
Gene Lee: So there's two questions in there John, and I'll get to the virtual brand in a second. The first question is, obviously the data is richer when we're capturing the data from our digital guest, which feeds into our huge database on our ability to market to them. So we can figure out to that, and through our tokens that these are, these are dying, our off-premise guests only. Then we can tell all our marketing towards that guest and towards that experience. We understand what they are buying, and what they want to buy. And so we can get smarter with that. We're pretty smart. Prior to this, we just have more information today, and we'll be able to -- our data scientists will be able to use that and market effectively. Let me just pivot to virtual brands, I'm shocked that it took this long to come up. But only give you my take my take on this. Everybody around the room is very nervous right now. But, I think people are in different places, and they're trying to approach this and deal with this moment in time differently. For us, this is not the right approach, we want to focus on brands that we've got 20 plus years and hundreds of millions of dollars invested in trying to build, and we want to make sure that they're executing at a high level. I think brands are going to matter. And I don't think you can -- I think brands are developed over a long period of time, around delivering a promise to a consistent promise to a consumer. I think you have to have a functional need and emotional need. And I think that's what I think that's what our brand builders have done for decades. And to get out on a digital platform and try to do that, I think people got to try to do what they want to do. I'm not -- I'm not saying it's a good idea or a bad idea. It's not for us. Brands are going to matter, and we think it's a distraction.
John Glass: Thank you so much.
Operator: Your next question comes from the line of Dennis Geiger from UBS. Your line is open.
Dennis Geiger: Great, thanks. Gene, wondering if you could talk about where sort of customer satisfaction scores are at the moment, I think you might have alluded to it earlier, but kind of just based on some of the technology, the other friction reducing initiatives and maybe some of the other customer experience investments that you spoke to, if you if you're getting credit for that, if you've seen a notable increase there and kind of to some extent, how that's driving some of some of your go-forward thoughts on, on share gains, etcetera. That’s question one.
Gene Lee: I'll be very, very clear. Our guest satisfaction scores are improving dramatically. I want to -- I want to put some context around that, which is, what we don't understand is, is it just the consumer expectations are maybe different to this experience. So we're happy directionally where they're going. And we're happy directly where they're going compared to our competitors. But at the same time, we will -- we were not, patting ourselves on the back too much, because this is definitely a different environment and the consumer feedback is there is different. So we don't know what the expectations are, but we are very pleased directionally where we're heading with our own internal and in some of the industry stuff that we're seeing and how we're comparing to competitors.
Dennis Geiger: Got it. And just kind of as a follow up to that, no, it's not the biggest needle mover right now. But just as it relates to, to Cheddar’s and kind of any improvements that you've been able to make in this environment, and whether that's resonating, just curious if you could, if you could speak to that at all and more broadly if the current environment at all has and emerging from the current environment and your thoughts there, if that changes at all, how you're thinking about future M&A strategy in anyway, if you're able to speak to that? Thank you.
Gene Lee: You guys are getting really good at getting multiple questions in one question. Let's talk about Cheddar’s first, and I'll come back to thoughts on M&A. Cheddar’s is from a business model standpoint, Cheddar’s has had the biggest transformation. The work that John Wilkerson and his team have done, it's been transformative. And I couldn't be more excited about directionally where they're heading. Tactically, one of the biggest changes, and one of the one of the things that we had to really speed up was off-premise capabilities. We had very -- we had very, limited capabilities going to COVID. We only had two phone lines going into most of our restaurants. We couldn't -- we couldn't even take the demand over the phone. We didn't have online ordering. So the team rallied and this was supposed to be an initiative that was going to go all the way through fiscal 2021, really wasn't supposed to be fully operational at 2022. They got together and they've been able to real quickly upgraded their phone lines, they have four phone lines coming in and we now have online ordering, new packaging’s being rolled out as we're speaking. And they developed a native app that actually getting some pretty good adoption. And so that piece of it is been really exciting that they've been able to move as quickly as they possibly can. Their in-restaurant dining is held strong, they still don't have a huge robust off-premise business, but we need to build that. It wasn't something that people thought of Cheddar’s for, but we think there's a big opportunity there. So, I'm thrilled directionally with what they're doing and the transformation they have made in their business model. Just briefly on M&A, there's nothing new to report here. We continue to evaluate opportunities and discuss with our board. We are very happy with our current portfolio. And we believe, that we can achieve our growth targets and our value creation metrics with the portfolio that we have. We believe there is a great opportunity for all our brands.
Dennis Geiger: Thanks, Gene.
Operator: The next question comes from the line of Chris Carroll from RBC. Your line is open.
Christopher Carroll: Hi, good morning. Thanks for the question. So I just wanted to circle back to margins, and specifically an Olive Garden. So the margins at Olive Garden were particularly impressive this quarter despite the sales decline. So how are you thinking about the margins for that brand longer term? Obviously, as a marketing and potential reinvestment spend builds, that will create drag, but how much of the savings that you found, do you think you can hold on to?
Rick Cardenas: Chris, as we mentioned, Olive Garden segment profit margin was 100 basis points better than last year? We've got a pretty good improvement in cost of sales, partly because of the question that was asked earlier about; about never any possible that actually drags a little bit margin for us. So cost of sales a little bit better. We improved our food waste significantly because of the operational changes that we've made. That said, a 22% margin on the sales levels they have. We're going to start reinvesting eventually. We've got marketing that was down about $20 million year-over-year for Olive Garden. And as capacity starts to come back online as Gene mentioned, we will look at our promotional cadence and our marketing cadence. But 22% is a pretty strong margin. So I wouldn't anticipate us significantly getting better than that, as we continue to reinvest to get back to a point of getting back over 100% of our sales. Our goal is to drive our sales profitably and we have enough room to invest to drive those sales profitably.
Christopher Carroll: Thanks. And then Rick, in the estimate of recapturing pre-COVID EBITDA dollars at 90% of pre-COVID sales, how does off-premise versus on-premise mix factor into that estimate? Does that contemplate higher off-premise next versus pre-COVID levels?
Rick Cardenas: It does contemplate higher off-premise missed and pre-COVID, but not significantly higher. I mean, as Gene mentioned, Cheddar’s should be higher. Olive Garden should be higher, and LongHorn should be higher. But we're not going to be at 40% or 50% of sales premise when we've got full capacity dining rooms. As you -- as we open as Gene mentioned, as you -- as we open dining rooms, we start seeing that To Go business shift back into in restaurant, but we still are right now we're still retaining 60% of our peak premise sales.
Christopher Carroll: Got it? Thank you.
Operator: Your next question comes from the line of David Palmer from Evercore. Your line is open.
David Palmer: Hi, good morning, how much? How much higher do you think To Go sales might be at your big two brands after the COVID crisis? And I'm wondering if you have any clues that you care to share in terms of informing that thinking such as these To Go sales being new customers? Or perhaps how that that off-premise mix fades, and they reopen states as your on-premise rebuilds. And I have a follow up.
Rick Cardenas: Yes, David I might. And I've got no empirical evidence to support this. But my theory is that off -- once we open up the dining and say we get back to a normal environment, where we have concerts and revise going to football games and -- I actually think off-premise will dip down below where it was. I think there's going to be a huge surge for on-premise dining. I think people are tired of this experience. They are utilizing this experience right now. But when I talk to people, and we did some research, people want to get back out socialized. I do think, then it comes back, it comes back higher than where we were. I think our thought processes, it's a little bit higher, but not terribly higher, and it will continue to grow over time as it has been. But I don't think that this is some big change that we're going to wake up in Olive Garden and be doing 35% off-premise, if we're going to concerts and having football games.
David Palmer: Wow, that's interesting take. I wonder just on the -- on and how you communicate with consumers. You've obviously made a lot more connectivity with digitally with those consumers. Are you going to advertise less on TV after this is all over? Is this a source of margin leverage for you going forward?
Gene Lee: I think that we have to go back and go back to what I’d said earlier. We have to understand what the competitive set is. We have to understand what the economic backdrop is. We'll have to analyze how well we can get to our consumer through television. We still believe that we can do that. We participate and we’re still participating in the upfront. We think it's a good mechanism for us. And that's part of our skill benefit with Olive Garden. Right? We can advertise on a national platform. And we have some -- we have some efficiencies. And I think that we will still use that in the near term. But it will all depend on what the competitive set is and the economic backdrop. If we pull enough restaurants out, we may not have to advertise for a while.
David Palmer: Yes. Thank you very much.
Operator: Your next question comes from the line of Chris O’Cull from Stifel. Your line is open.
Unidentified Analyst: Thanks, guys. Good morning. This is Patrick [ph] on for Chris. I know you spoke briefly, briefly to lapping seasonal increases that really begin after this coming quarter. But I was hoping you could provide a bit more color on just your base case thinking currently on how that plays out and what you're expecting to see based on customer behaviour that you see today. And the capacity constraints that are in place and what levers do you think you can pull if you do see a much more muted seasonality and average weekly sales as you move into the back half of the year. And then I had one follow up.
Rick Cardenas: Yes, Patrick. I'll start with -- we've shown week-to-week, we're continuing to build our average weekly sales. And as I mentioned earlier, Q2 is our lowest seasonal quarter and Q3 is our highest, so it does take a lot of increase in average weekly sales to get to the same comp level Q3 as Q2. But what we are going to do and what we continue to do is evaluate the situation. As restaurants open, as dining room capacity is open. I mean as Gene mentioned, if dining room capacity don't continue to expand, we still have some levers to pull in the off-premise side. So that's what we will do, we will continue to advertise off-premise if it's what we need to do to continue to build sales. But as long as we do that profitably, our intention is to grow our sales profitably from where we are today. And so that's what we'll do. We'll continue to focus on off-premise. Now, if dining rooms can reopen completely, we should see an increase in sales.
Unidentified Analyst: That's helpful. Thanks. And forgive me if I missed this, but it sounds like menu simplification is, it sounded relatively permanent. And so I was wondering if you could provide a bit more detail on exactly, the margin improvement you're seeing from that initiative in particular? And then how do we think about, as sales normalize moving, moving forward a little farther into the future, should we expect to see some adding back to the menu and some additional complexity come back on? Or is this something you're thinking of is completely permanent, even as sales normalized? Thanks.
Rick Cardenas: Well, the biggest driver of the cost savings is waste. And that in that the touch Menu that's lacking promotional activity, there's some other things that are influencing that. I think that the challenge for the teams is if they need to add menu items, to fulfil a need, can they do that without adding complexity? I think they have to. I think, in their calculus prior to this, there wasn't enough weight put on the complexity of adding new menu items. So it wasn't enough. No one thought about that. I think today, that's part of the -- the part of the thought process is they think about adding something. How do we do this and make sure we maintain our productivity and don't increase our waste? So I think a better way to say that is, as we do menu developments, it’s going through a better filter today, that I think will have a long longer -- have a long lasting impact on our ability to maintain these cost savings.
Operator: Your next question comes from the line of Peter Saleh from BTIG. Your line is open.
Peter Saleh: Great, thank you. Gene, can you just elaborate a little bit on where the cost savings are coming from for doing curbside versus in-store pickup? Is it cheaper labor? Or is it just less spent on CapEx in the store to build out the area for pickup, just trying to understand where the cost savings may be coming from?
Gene Lee: Well, it's a technology that's creating it. It's no one, no one taken the answer on the phone. We're dropping, you know, the consumers letting us know whether when they're in the parking lot, and we're just dropping the bag in their car. So there's just a lot less, interaction there. Just think just, the cost is just purely productivity efficiency. Thinking about a line of five or six people at a desk, or at the bar top in a restaurant waiting to get To Go versus having someone just pull up to a car and put a bag in the trunk. That's where the efficiencies come and technology is enabling all that.
Peter Saleh: Understood. Okay, and then just on fine -- on the fine dining segment. I think this quarter, you guys mentioned that the weekend, you saw strength, I think that was also similar to what you saw last quarter. Are you seeing any sort of change in consumer behaviour, in fine dining during the week? Or is it more of the same?
Gene Lee: Well I think that, obviously we're missing the business travel and those types of dinners. So I mean, that was a big part of capital grow, and especially in your central business districts, you're always soft, and you're suburbia restaurant, during the week and you made up for on the weekends. I think we -- just another interesting titbit is that, look at capital growth comps, you're starting every week with over a million dollar shortfall just in the three restaurants in New York. We're doing 3000 bucks a day there with our 10 seats. Those restaurants do well over a million, a million dollars a week. And so, you just get this, just so much geographical differences in those businesses. We have some capital growth that’s performing fairly well, especially in suburbia. But I'm confident as I see the sales volume on the weekends. I know we're turning away a lot of people and I know as soon as we can get a few more tables, we can continue to grow that business. And I'm confident that they're confident those businesses are going to be cash flow positive going forward.
Peter Saleh: Great. Thank you very much.
Operator: Your next question comes from the line of Jeff Farmer from Gordon Haskett. Your line is open.
Jeff Farmer: Great. Good morning. Just wanted to follow up on a couple of questions very quickly. So what level of sales from sales performance are you seeing in California? And if you don't want to get that specific, I'm just curious potentially what the headwind for Olive Garden consolidated, same store sales are related to the California partial closures?
Rick Cardenas: Yes Jeff, for the quarter, we were down somewhere around 50% in California. Now remember, they were open for a little bit of time, and then they re-shut down. But we are seeing some pretty good unit volumes in California. And I was talking to Olive Garden more than more than any other brand. But and as Gene mentioned, Yard House is significantly impacted in California. But we were down. And if you take California out of Olive Garden, it's a 200 basis point swing for the quarter.
Jeff Farmer: Okay. And then as a follow up, I think this was touched on earlier, but I asked you this in late June, and I believe you guys said there are about 10 to 15 restaurants that were posting positive, same store sales, even with that 50% capacity, restrict constraint in place, or limit in place. Where does that number stand now?
Rick Cardenas: Yes, I would, what I would say is, instead of getting an individual restaurants; let's talk about a couple of states. I mean, Longhorn was positive in Georgia. The entire system was positive in Georgia for the quarter. We have a lot more restaurants that are positive now than we did going earlier. The last couple of weeks, it's been even better than that. So without getting an individual restaurants, we have it all contemplated in our guidance for Q2. And so I'd rather leave it at that.
Jeff Farmer: Fine, thank you.
Operator: Your next question comes from the line of Brett Levy from MKM Partners. Your line is open.
Brett Levy: Thank you. Good morning, thanks for taking the call. When you think about the great job you're doing right now, in terms of managing the hourly labor. When you think about labor, just overall, what are you seeing in terms of inflation, your ability to hire, and also -- the integration of all of the different tests you've talked about? On the technology front, you've spent a lot of time talking about the customer facing, but what about on the operational side? And then just the managing of how you're balancing the in-store and the off-premise? Is it the same servers? Is it the other Front of House, you've heard, you've had one of your competitors talked about how the off-premise transaction is an hourly as opposed to attempt. So I'll stop there for now.
Rick Cardenas: Well Brett, you got a lot in there – in that person. You got more, I can't wait. But let's talk about hiring. Hiring is very local. There are different pockets of the country that are more stressed than others. I will make a global comment, say I've been amazed at how, how well the hospitality workforce was absorbed into other areas during COVID. And so there hasn't been like, this still, there's still stress in that environment. We're still seeing, we still expect wages to rise somewhere between 3% and 5% for the year. As far as technology, technology goes, and the adaptation is so -- is easy today, right? And then we're doing that we haven't done it. We haven't focused a lot on improving technology in restaurant all of our stuffs really been, all of our efforts been focused on the consumer right now. We do have some -- we will get back to some projects that will modernize some of our tools in restaurant that'll hopefully help increase productivity. And as far as off-premise and we're using for off-premise for us are tipped employees. For more, they've got a higher average weight, but they do collect some gratuities on their service.
Brett Levy: Thank you.
Operator: Your next question comes from the line of Lauren Silberman from Credit Suisse. Your line is open.
Lauren Silberman: Thank you. A follow up on your commentary regarding industry closures. Are you seeing any noticeable difference? Or do you expect to see any difference in the level of closures in states that reopened earlier? Or maybe urban versus suburban markets? And how has that been forming your future development pipeline?
Rick Cardenas: Well, I think that the markets that have had the tightest restrictions are going to have the most closures. Because I think that's where, I think of some of these urban environments that just don't have the capitalism to hang on. I don't think it changes our development philosophy at all? I mean, I think good trader has a good trade areas. I mean we -- there's a lot of talk about migration out of some of the bigger cities, we'll see how that plays out. I think that, I think eventually we're going to have some really good opportunities to do some work in Manhattan as an example, I think that, it was very difficult from a cost standpoint, pre-COVID, to justify building more restaurants there. But I think post COVID, we might have, we might have some opportunities. So I don't think from a development standpoint, it has a tremendous amount of impact. We'll continue to look. We know where we have holes in each brand, from trade areas, and we're going to try to fill them.
Lauren Silberman: Great. And you touched on this a bit, but with regards to fine dining brands, and maybe the Yard House as well. To what extent are these brands driven by tourism or large business conventions? And how are you thinking about that recovery? And do you need some of these exact exogenous factors just return to wholesale recapture?
Rick Cardenas: Well absolutely. We got a bunch of Yard Houses tied to baseball stadiums and football stadiums, and LA LIVE is our best Yard House in the system. And that's been decimated because of what's happening with sporting events. So yes, there's a lot, there's a few of our brands that, a few of our restaurants that are tied to that, and they'll come back. I'm a big believer that, we're going get back to normal, it’s going to be great restaurants. But for the time being, we just have to run them as efficiently as we possibly can, and do the best we can with what we have.
Lauren Silberman: Thank you very much.
Operator: Next question comes from the line of James Rutherford from Stephens. Your line is open.
James Rutherford: Hey, thanks for getting me in here. So quick question on the capacity bottlenecks at Olive Garden specifically? And it seems like it would be key to drive traffic at non-peak times and certain there's things you're doing around that. But are there any kinds of incentives you can do to bring people in during those shoulder periods? Or is it a situation where you're really fully utilizing that capacity already during the off periods as well?
Rick Cardenas: No. I mean, I think that's something we face, pre-COVID with how do you how do you increase your capacity at certain down times of the day? I think that's, I think that's high, higher to high activity, exercise with very low payout. I think that one of the important things about a restaurant is that downtime to help you prepare for the break between lunch and dinner is important. So you can get ready for dinner. I mean, it's there's parts of us we have cycles in our business, and they're important. I think we would, I think that we've been very disciplined has process to make sure that we're not chasing, what I would call this low return activity. And so I don't -- I don't think there's a whole lot there. I do think that what happens is as your business starts to improve, especially midweek or early week is that your, your lunch last 15 minutes longer your dinner last, 15, 20 minutes longer. That's important. Trying to drive people into your restaurant, two o'clock 30 years, I found that to be a waste of time and money and effort.
James Rutherford: Okay. Thank you.
Operator: Your next question comes from the line of Sara Senatore from Bernstein. Your line is open. 
Sara Senatore: Thank you. I had sort of a related question on that and click on Cheddar’s, but on the -- on the capacity I guess, as I think about 50% capacity across the system, that seems pretty standard for a lot of restaurants and I appreciate California's basis points. You know, how should I think about 50% capacity per se and all of our endorses [ph] may be competitors, I guess if it’s all [technical difficulty]. You have been more capacity then mercy other competition. I don't know if any numbers about that. And then I guess I’ll just have a quick follow up on centers, please.
Rick Cardenas: Hey Sarah you were breaking up quite a bit. So let me see if I get the gist of your question. I think it was about the you know most restaurants are at this 50% capacity level. But how does that impact Olive Garden versus competitors. And I think the way I would, I would frame it is just average unit volumes. Olive Garden last year was probably using a lot more of it’s capacity then some of our competitors were using it at that time last year. And so as we think about AUVs and think about the comp differential, maybe even between nap track, we think that some of the some of the impact is that while we're at 50% capacity today, and we were at 100% capacity last year, we were using much more of our capacity maybe than someone else. I think that was the gist of your question, but it was really hard to hard to hear. And if I think you also had a question on Cheddar’s?
Sara Senatore: Yes. That was actually exactly my question. I -- but I wasn't sure if you had any sense of what the average capacity might look like through the industry, just to help us sort of think through that. But the real question on Cheddar’s is, you talked about off-premise. I have been sort of slow at that time. I think we were starting to see some improvement in comps and then this pandemic hit. Could you talk a little bit about any kind of metrics, and maybe in particular, I think that's where you've seen a lot. Is there any sense of kind of quantify [Indiscernible]? Just, just a little bit more color on that?
Rick Cardenas: Yes, Sarah. Broken up again, but I think I caught most of it until the end. I think you were asking about the impact for Cheddar’s and how we've improved margins that Cheddar’s versus maybe the rest? And Gene mentioned. I think that was your question. So Gene mentioned that Cheddar’s has had the biggest transformation in our business model. On an hourly labor basis that we said, we had about 350 basis points for Darden and proven an hourly labor, Cheddar’s was close to three times that. And so it was a very big improvement at Cheddar’s in their margin structure because of the simplification they did, and the work they've done. And the fact that they went from maybe less than 5% To Go sales to over 20 in a short period of time. And we think we'll continue to build that To Go volume. But Cheddar’s did make the biggest transformation in their margin structure. And we think a lot of that will stick.
Sara Senatore: Right. Your [indiscernible] mumbled question. So thank you very much.
Rick Cardenas: I have triplets. I've interpreted mumbles a lot of time.
Sara Senatore: You should talk to my four year old -- probably do better than I do.
Operator: Your next question comes from the line of Gregory Francfort from Bank of America. Your line is open.
Gregory Francfort: Hey, thanks. Thanks for sneaking me in. The question I had was back on the margin is probably for Rick. I think you've talked in the past about margins at Olive Garden above 20% at the level at which you reinvest and I think you were there, right around there pre-COVID. And so as you think about the 100 to 150 basis points of margin upside. Is that going to be spread relatively similarly across brands? Or I mean, do you think it gets overweight to the LongHorn and other businesses just given where the segment margins were pre-COVID? Thank you very much.
Rick Cardenas: Greg. Yes, I think it overweighs to other brands. I mean, we'll -- we should still see a little bit of margin prune at Olive Garden, just because the environments very different today than it was pre-COVID. And I think a lot of brands are out there, improving their margins in some way, shape, or form with simplification. And we just want to make sure our gap to the rest of the industry doesn't grow significantly. But we do believe that Olive Garden will see a little bit of margin improvement from where they were before. We just think that the improvement will come even greater in some of our other brands, Cheddar’s and some of our other brands in the other segment.
Gregory Francfort: Thanks for the sauce.
Operator: Your next question comes from the line of John Ivankoe from JPMorgan. Your line is open.
John Ivankoe: Hi, thank you. And Gene, your answer to David Palmer's questions on off-premise I think it's going to be like one of the great discussed topics, probably of this month. So thank you for that. The question got to that Thank you. LongHorn is helpful for all of us. It's -- I would imagine it's nearly impossible to get a staffing model right. Just kind of anticipating how customers are going to come back what have you, especially with men of labor hours that you took out of the store. I just wanted to see like how honed in that model actually is me what do you kind of seeing in terms of the variations of margins relative to you having too much labor at any point in time, too can imagine too little labor. At any point in time where you've got you're just not after the amount of customers that for whatever reason decided to come in at five o'clock on a Tuesday that maybe could have led to some longer cable times, that could have actually in some way actually impaired your ability to drive the traffic that you could have until that labor model gets more fine-tuned.
Gene Lee: Yes, John, I think for Olive Garden because we're not doing a lot of outdoor dining. We don't have the capability there that business is a little bit easier to predict. We've been, the leadership of all of our businesses error on this side of more labor than less. And we're tracking number of servers per restaurant, per day trying to understand. As the business starts to grow, making sure that we have the appropriate staffing, where it gets more difficult as in some of the Yard Houses where we have some, a lot of outside dying, that that doesn't have any covers. And if it starts to rain, if it doesn't rain, I mean, that's where life gets a little bit more difficult for our operators. But I would say in the two big casual brands, they've gotten pretty good. And they need, what I would say a change in, in what's happening in the environment. In other words, if we go from 25% to 50%, that's going to change the flow of mix. That's going to change what's off-premise, on-premise. And it takes a few days to figure that out. But we're erring on the side. Believe it or not, I know our labor results are really strong, we're erring on the side of more labor, not less.
John Ivankoe: Understood, thank you.
Operator: Your next question comes from the line of Matthew DiFrisco from Guggenheim Partners Your line is open.
Matthew DiFrisco: Thank you so much. My question is with respect to Georgia, and the positive comps there. Can you I guess it sounds like you were saying the consumer obviously, we've known this for a while, the consumer is a little different than New York. However, is that also a byproduct of PPP sort of slowing down and having a lift? Or have we seen some closures happen there? I'm trying to get a picture of Georgia being a positive. Is it a positive market? Or is it just positive for Olive Garden and LongHorn? Or is the entire -- are dollars up for restaurant spending in the state of Georgia year-over-year? Or is it just a smaller pie and you've won consolidated a lot of that share? Thank you.
Gene Lee: A couple things. First, first of all, the majority of the restaurants that are positive in Georgia are Longhorn, not Olive Garden. Olive Garden performed well in Georgia, but nowhere near what Olive Garden is, I mean, what LongHorn is. And LongHorn has had a strong footprint, and we got 45 restaurants in the city of Atlanta, where every three miles, we've got a restaurant. And we've always done extremely well there and the brand is, is loved there. So the brand strength there is fantastic. That's one component. The other component is that especially when you get 15 miles outside of the city, life is pretty is normal there. It's not pretty nice, it’s normal there. And I landed Atlanta airport the other day, and not one person had a mask on. No, I was in a hotel, I stopped, I went up to a rooftop deck and it was too deep at a bar -- at the bar. I mean, so I mean, it's just a different life in Georgia. I know it's hard for you guys in New York, to even imagine that. But you still can't get around Georgia, there's so much traffic around the city of Atlanta. So in the city area, there's a little bit more, but I would tell you that, and I think if you look at other parts of the country in different states, behaviour is fairly normal.
Rick Cardenas: So I guess that would be then the industry on a year-over-year basis also for or the peers, it seems like it's a rising tide. They just haven't taken as much of a dip down.
Gene Lee: Well I think they haven’t taken much dip down. But I think LongHorn is significantly outperforming most people in that market. And they always have John, I mean, they've always -- it's always been the core of that brand. And one of the thing remember, Georgia is one of the first to open, right. So they've been dealing with reopen for a long time, a lot longer than other states. So the longer a restaurant or a market is open, the more people start getting a little feeling a little bit more comfortable.
Matthew DiFrisco: Okay, and just on that I mentioned PPP also. Can you guys talk about sort of what anywhere in or how, what your outlook is for the potential amount of seats maybe to leave the casual dining market. So say when we are in this time next year, how many seats might have exited?
Rick Cardenas: You know what we're comfortable to believe in somewhere between 5% and 15%. I think there's some other industry folks saying more than that, but I think 5 to 15. I think you remember once a restaurant, it’s a restaurant. A lot of these will get recapitalized in the next few years, but I definitely believe that we'll be competing against less competition on the other side of this crisis.
Matthew DiFrisco: Excellent. Thank you so much.
Operator: Your next question comes from the line of Jake Bartlett from Truist Securities. Your line is open
Jake Bartlett: Great, thanks for taking the questions. I had really had two quick ones. In the first, on the menu simplification, can you quantify how many less items for instance, that is just going to have a sensitivity as to the scale of the simplification? And then Gene, I'm not going to ask you about third party delivery. I think I know the answer. But I'm curious about your experience with in-house delivery and lowering the minimum check or the minimum order, for instance, is that something you want to lean into a little bit? Maybe continue to, to lower that to increase your in-house delivery?
Gene Lee: I think the answer to the second one is that we'll continue to evaluate that. But we don't see a big upside there. What was the first -- percent of menu simplification, each brand is very, very each brand is very, very different. We range somewhere between 20% reduction to 40% reduction in one brand. The easiest thing to do is to go you know, go find the menus.
Jake Bartlett: Got it. Thank you very much.
Operator: Your next question comes from the line of Brian Vaccaro from Raymond James. Your line is open.
Brian Vaccaro: Hey, thanks, guys. And thanks for the extra time. Rick, could you just provide a little more color on the other OpEx line, obviously, down around 20% versus pre-COVID levels. Just walk through some of the more significant cost reductions have been and how you expect those costs to come back? And then would you be willing to provide the fiscal 1Q comps for the individual brands within the fine dining and other business segments? Thank you.
Rick Cardenas: Yes, on the restaurant expense line, just want to give you a couple of titbits when we talked about business interruption of $10 million. That was a proceed that we got, that hit our restaurant expense lines. We did have some rent reductions in the quarter, a cash rent reductions were bigger than the P&L impact. The P&L impact was about $3 million. We had some most of our savings are in utilities, in smallwares, and repairs and maintenance. And we would expect that as dining room start to reopen as they get busy again, we'd have R&M start to increase, as well as small wares in utilities. Those savings are maybe not as permanent, right? Because those are just because their volumes are down. And another point to mention is, we are spending money on PPE for masks, for our team gloves, chemicals, etcetera. And that's about $4 million to $5 million a quarter.
Brian Vaccaro: Okay. And then the comps for Fine Dining and other big segments.
Rick Cardenas: Yes. On the comp side, we mentioned about a year ago that we were going to start providing comps only at a segment level. And this was our first quarter that was the case. And so we're going to continue with that.
Brian Vaccaro: Understood. Thank you.
Operator: Your last question comes from the line of Jared Garber from Goldman Sachs. Your line is open.
Jared Garber: Good Morning. Thank you for taking the question. Just a quick one for me. As you think about longer term capacity, maybe if you just focus on Olive Garden. Is there a level of average weekly sales or AUVs, how are you going to talk about it? That sort of a limit for Olive Garden, obviously, the off-premise business can be quite additive. But as you get back to sort of 100% in dining room capacity, how should we think about the longer term sort of cap, if you will, on AUVs in that brand? Thanks.
Rick Cardenas: Well, I think there is there is no cap. I mean, I think that, if you reach your -- you start to reach your capacity for just count, you have pricing power, and you can you can move your AUVs that way. I think pre-COVID, we were getting close to over $5 million on average unit volumes. So I think that, we'll definitely, hopefully you can get back there and get past that. I don't -- I don't ever think of a cap for a concept. Now we know that when you start adding new units, they're not going to come on at the average. Usually we can create a strong IRR with restaurants that that come in a little bit below the below the average and but overtime, we've been able to get that average to a pretty good level at 5 million.
Jared Garber: Thanks so much.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Gene Lee: Thank you. That concludes our call. I'd like to remind you that we plan to release second quarter results on Friday, December 18th before the market opens with a conference call to follow. Thank you for participating in today's call.
Operator: This concludes today's conference call. You may now disconnect.